Daniel Sundahl: Good morning from Asker, ladies and gentlemen, and welcome to TOMRA's Fourth Quarter Results Presentation for 2024. My name is Daniel Sundahl, and I'm Head of Investor Relations. And today, as always, we have our CEO, Tove Andersen here, to give you the highlights of the quarter; and our CFO, Eva Sagemo to dive deeper into the numbers. At the end of the presentation, we will open up for Q&A for participants in the Teams webinar. A link to the webinar can be found in this morning's stock exchange release. And without further ado, I give the word to Tove.
Tove Andersen: Thank you, Daniel, and a warm welcome from me as well. I'm very pleased to present a record strong quarter for TOMRA. Q4 2024 we had record revenue and record EBITDA. We did expect it to be a very strong quarter, but also we knew that, it would not happen by itself. And I'm really proud of the whole organization of the work, and the effort that they have put in to really make this result. And it is nice to look back on 2024, where we have delivered on what we promised. We have lifted the gross margins in Collection to where it should be. In Recycling, we have delivered a top and bottom line in line with the record year 2023, despite a softer market sentiment. And we have delivered on the cost saving and restructuring program in Food, with a cost saving of €30 million, and we entered the year with a run rate of 10% to 11% EBITDA. In addition, the focus we have had on working capital during 2024 has really paid off resulting in a very strong cash flow. So we are very pleased with 2024, but we are even more excited about the future. The greatest news in the quarter or over the last months has really been the historical progress made by policymakers on the circular agenda. The coming years looks very encouraging for increased circularity and TOMRA are well positioned to capture these opportunities. I'll come back to this later in my presentation. But first let's look at the highlights for the quarter. The revenue in the quarter ended at €398 million. That is 12% up compared to the same quarter last year. Collection were 2% up, but we have to remember Q4 2023 was also a very strong quarter for Collection. And then Recycling 37% up and Food 13%. Very strong gross margin in the quarter of 46%, compared to the 44% same quarter last year. The main contributors are that we are now seeing the results of the restructuring program in Food and also that we had very high volumes in Recycling. Operating expenses in the quarter were in line with same quarter last year, which then resulted in a 46% increase of our EBITDA to €78 million. We had some one-off costs in the quarter of €3 million linked to the Food restructuring program, which is now finalized so we don't expect any costs related to that this year. As I mentioned, very strong cash flow also this quarter of €83 million, which then resulted in a total cash flow from operations of €235 million in 2024. Going then to order intake and backlog, we had strong and good order intake both for Recycling and Food in the quarter. Recycling order intake was €10 million up versus same quarter last year, ending then at €76 million, and gave us then an order backlog of €107 million. Food order intake was down compared to same quarter previous year, which was a very strong quarter, but still a very good order intake of €85 million. And if you look then at the combined order backlog of Food and Recycling, we are entering this year with an increase of €14 million compared to entering 2024. The Board of TOMRA is proposing a dividend of NOK 2.15 per share. That's a 10% increase compared to previous year. And it is in line with our dividend policy to pay out 40% to 60% of EPS representing then a 58% payout ratio. And then last, but not least the highlight in the quarter was really the acquisition of c-trace which is a leading digital waste management company and we are very happy that they have now become a part of the TOMRA family. I will then go into the different business updates, starting with Collection. Collection had a very strong quarter Q4 2024. Record revenues driven by the strong sales both in existing and new markets. On new markets, it was really the high preparation for Austria's go-live which was 1st of January this year. But also we saw good and continued activity level in Romania and we are seeing now increased activities in Poland. In the existing market, it was both Americas and Australia contributing well in the quarter. In Australia, it's due to the expansion in New South Wales and also then Victoria which went live last year where there is a throughput market and we are now seeing increasing revenues from Victoria. In North America, the main contributors were linked to the modernization of the deposit scheme in Connecticut where they have increased the deposit value so that contributed, but also good sales into Michigan. If you look at 2024, 80% of our revenue came from existing markets in 2024. And from existing markets we delivered a 5% revenue growth in the year which is in line with our strategic ambitions for existing markets. So this gave then for Collection not only a record quarter, but also a record year with all-time high full year revenues and EBITDA. On the right-hand side, here we have the list of the countries that have then approved and in place a deposit law. It's a really good pipeline now of different countries that are planning to go-live with deposit schemes. And I'll go briefly through them. First one is Poland which is the first one of what we call the Big 5 to come in Europe. Poland is then planning to go-live on 1st of October and there is significant activities now happen in Poland and we expect that there will be a transition period from 1st October until the end of the year. Also now given the activities we see we expect Poland rollout to go over roughly a two-year period. Tasmania is going to go-live. They just announced the date now May 1. It was announced this week where we are then the sole provider of the solutions. And this is a throughput market so you will see the sales then increasing gradually. Also there came news from Greece. This week they have now had this secondary legislation signed by law. Their announced start-up date is 1st of December this year. Portugal also are then planning start-up during 2026. The final date is not really set, but the system operator has been assigned and there is a lot of activities happening there and we expect that the formal live date will come soon. Singapore is planning to go live April 2026, scheme operator in place tender processes are running. Uruguay was supposed to go-live in 2024. We are now estimating 2026, but there is not a new firm date being announced yet. Then Spain, the second of the Big 5 on this list as I assume most of you know they announced their collection rates late last year triggering then a deposit law because they are not meeting the targets set in the single-use plastic directive and in the packaging and packaging waste regulation. And that should then trigger implementation of a deposit within two years. And then it was very exciting to see UK, then passing the deposit law for England and Ireland -- Northern Ireland earlier this year. The planned commencement date is 1st of October and they seem to be keeping firm to that date and Scotland is now in the process of amending their existing deposit law to then also match Northern Ireland and UK. So a good and healthy pipeline, which will create significant opportunities for us over the coming years. Then to Recycling. Recycling had a very strong quarter, record revenues and EBITDA in line with the estimated conversion ratio we communicated at last quarter. And as I said initially, I'm really impressed by the organization on how they managed to deliver on this because there's been a lot of machines that needed to be delivered and installed. Also what was good to see in the quarter was a strong order intake also illustrated here at €76 million. This means that we start the year with an €8 million higher backlog for Recycling than we had in the beginning of 2024. Talking then about the market sentiment. I would say, it's more or less the same as we have had the last couple of quarters. The market sentiment in plastics recycling is still soft and we are not currently expecting a recovery of that this year. In waste sorting, stable activity linked to automation and so forth, and we do see a good and increased activity in the aluminum also then linked to the launch of our PULSE machine last year. Also what I said in my introduction, saw record quarter but also then for the full year, Recycling has then delivered in line with 2023, which was a record year for Recycling, which I think is a great performance given the current market sentiment. And then a highlight has been the adaptation of the Packaging and Packaging Waste Regulation, which happened earlier this year. I think many are aware of the deposit part of the Packaging and Packaging Waste Regulation, but it's really the recycled content and the recycling rates that are going to be significant drivers for our Recycling business over the next years. Just to give you a few examples of what is part of this regulation. Today in Europe, roughly or less than 10% of the content in Plastic Packaging comes from post-consumer recycled plastics. In the Packaging and Packaging Waste Regulation, there are clear targets on recycled content for different types of plastic packaging. And typically the targets are around 30% or 35% in 2030. So we're talking three times the current recycling content. Another requirement in the Packaging and Packaging Waste Regulation is that 55% of all plastic packaging needs to be collected and processed for recycling. This is a 46% increase versus the current figure, which is 38%. Converting that to tonnes is roughly 3 million tonnes. Just to give you an idea if you then compare it with, for example, our Feedstock plant here in Norway, it means that you will need 30 of those kind of plants to meet that additional requirement. So this is a very important legislation for circularity in EU and creating significant business opportunities for our recycling business going forward. Then over to Food. Also a good quarter with revenue growth of 13%. Also very good to see now that we have the profitability recovery that you will see on the graph here giving then an EBITDA of 13% in the quarter. Very pleased, that we have delivered on the cost saving programs. We have reduced the staffing with 20%, 311 employees net reduction. We have restructured our production footprint including then closing both the Hamilton and Auckland production site, and we have delivered a €30 million run rate of savings. Talking about the market sentiment in the Food area, the main weakness has really been in fresh food. And what we have seen is, there's been fewer large orders that those have been delayed and postponed. This we have seen very clearly in APAC and Asia Pacific, but also in Europe. But in Europe we have seen very good growth of our aftermarket compensating for some of the losses. In the Americas, the momentum has picked up somewhat. And also there we have had very good aftermarket sales. So there are signs of improved market sentiment. Looking at categories potatoes is continuing to be strong. Potatoes, is a very important category for us. And also, the good thing to see now is that the indications we have for the coming years is that this category will continue growing. Also citrus, we see increased activity level. There has been a period with very low investments into citrus processing and we see now that that is picking up both in the Americas and in APAC. Then last, I'm going to talk and give a short update on our Horizon portfolio. This is where we are developing business opportunities adjacent to core to create additional growth for TOMRA. First, TOMRA Feedstock where we are solving the challenges of plastics that are today landfilled or incinerated and where we have announced investments into two sorting plants. The beautiful picture on the bottom right here is our Norwegian plant. That's how it looks now. It is nearing completion on budget and on time. We will start commissioning in Q2 and it will then be ramping up and starting up during autumn second half of this year. The brownfield plant we expect to start up in 2026. Then TOMRA Reuse this is where we are solving the challenges of single-use takeaway packaging. We are now celebrating one-year pilot in Aarhus and the municipalities there have run a survey to see the satisfaction with the system. We included some of the findings here. It highlights that people are annoyed by takeaway packaging littering that 88% of the population are familiar with the system that we launched there. And even more important of those that have used the system 84% are satisfied or very satisfied. 750,000 reusable cups has been returned with a return rate of 87%. So it's a good signal that this is a nice convenience system that people like. Also we just announced earlier this year that we have signed an agreement with Lisbon. This is for the really busy hospitality area of Lisbon where they have had a significant litter issue. They have, therefore, decided to ban plastic cups and the intention is that we'll establish a similar system there as we have in Aarhus. TOMRA Textiles was a part of our Horizon portfolio. When we established Horizon, we had very clear, or we do have very clear criteria for what should be part of this portfolio. It should be, of course, something that is supporting our vision. It should be a business opportunity that can be substantial and become a new leg of TOMRA. It needs to meet the profitability requirements we have set, but it also should be ripe for scaling. It's not an R&D activity it should be business building. Two years into textiles, we realized that this market is not mature enough to really have commercial opportunities. And that's why TOMRA Textiles is not anymore part of the Horizon portfolio, but turned into an R&D and technology development in Recycling. Still we believe in textiles is going to be a significant market for us longer term and we're positioning us for that. But currently there are not really significant commercial opportunities. But we have had an addition to the portfolio, which is c-trace. This is the acquisition we announced in October. This is the leading German digital waste management company. And the reason why we like c-trace is that it's a good strategic and culture fit with us. It is financially attractive and there is significant potential for synergies to develop that business forward. Focus now is on onboarding, which is according and progressing according to plan and to support c-trace on their growth journey. And they had a good and strong fourth quarter in line with our expectations. With that, I end my update and I'll hand over to Eva Sagemo.
Eva Sagemo: Thank you for that, Tove, and good morning from me as well. So as you have heard, we have delivered a strong Q4 in 2024. We have had a record top line in the quarter ending revenues at €398 million, so up 12% compared to same quarter last year. We have delivered gross contribution of €181 million, which gives us a very strong gross margin of 46%. That is mainly due to volumes, but also due to cost savings in Food. Good cost control. Operating expenses of €103 million in the quarter gives us an EBITDA adjusted of €78 million. And as Tove mentioned, we have had some restructuring costs related to Food in the quarter of around €3 million. So looking at the full year, we have delivered a growth of 5% ending top line at €1.348 billion. We have delivered an increase in our gross margins in the year, up 0.8 percentage points, compared to 2023. We have managed to have good cost control on the operating expenses and also with the Food restructuring. We delivered an EBITDA adjusted of €181 million, which is also an improvement, compared to last year 0.9 percentage point up compared to 2023, which ends the year at 13.4% EBITDA margin. Then looking into the divisions and starting with Collection. We have had a record top line in Collection this quarter, ending revenues at €203 million, which is up 2% compared to same quarter last year. And as we all remember, Q4 last year was a very strong quarter. We have -- in the quarter we ended actually higher than what we expected, coming into the quarter managing a top line, yeah, around €20 million higher than what we expected. And that is all related to the high activity in Austria. In the quarter and in the year as such, we have had good growth in both existing markets and also with the new market coming along. And as Tove mentioned, 80% of our revenue in Collection is related to existing markets both in the quarter, but also for full year. When we talk about the existing markets, as Tove mentioned earlier, we have had good growth in Americas and also in Australia, with adding on Victoria as a state for deposits. We talk about new market activities in the quarter, but also for full year, the market activities in new market has mainly come from then Austria, Romania, Poland and Hungary in the start of the year, when it comes to the Hungary business. That gives us a gross -- in the quarter we had a gross margin of €82 million, which gives us a stable and solid gross margin of 41%. Operating expenses in the quarter for Collection is slightly up compared to Q3, ending at €48 million more or less related to new market activity. That gives us an EBITDA of €34 million in the quarter. So looking at the full year, we are very satisfied with the collection in the year up 11%, compared to 2023. We have managed to deliver solid margin, above 40% and good profitability. Looking at the Recycling in the quarter, here, we have delivered a record, revenue of €103 million in the quarter, so up 37%, compared to same quarter last year. And this is all expected as you know, based on our estimated backlog conversion that we gave back in Q3. And as you can see on the slide, we have had good growth in Europe and in Americas which has mainly been project deliveries into the Waste Management industry. But we have also had good growth in the quarter, but also in the year as such, into our service revenue which is also a strategic focus for recycling going forward. If you look at the gross contribution ended at €58 million, which gives us a very strong gross margin of 56%, which is all related to the volumes in the quarter. Good cost control in Recycling, trailing a bit down compared to Q3, ending at €18 million which gives us then an EBITDA of €40 million and a profitability of 39%. Overall, for the year, good performance delivering more or less in line with a very strong 2023, in a soft market for plastic and maintaining a solid and strong gross margins and profitability. When we look at the order intake for the quarter, that has been strong ending at €76 million, and when we look at the order book, we see that we have especially in an increase in the Metal business, related to our PULSE machine. So it's up 15%, compared to same quarter last year. That gives us a strong order backlog of €107 million end of the year, so trailing up compared to same quarter last year and a strong start for 2025. Then looking into Food. Food has had a solid quarter in Q4, delivering in line with the expectations ending revenues at €91 million, so up 13% compared to same quarter last year. And as you can see, we have had good growth in our main markets Europe and Americas. Also here we have had good growth in sales and service sales and aftermarket which is also a strategic focus point for Food. And we see that for the year, we have managed to trail upwards on the ratio of service, compared to the total revenue in this business, so up 3.5 percentage points compared to 2023. Gross contribution in the quarter ended at €41 million, which gives us a strong gross margin at 45%. And here you really see the effects of the cost savings program, where we have taken out a bit more than €21 million in realized savings in the year. So we talk about the run rate of €30 million. But in the year we have had around €21 million and you can see the positive effect in the gross margin. Operating expenses of €29 million in the quarter, gives us an EBITDA of €12 million in the quarter and a 13% EBITDA margin for Food. So also here, very good to see that we are just trailing a bit softer than 2023 but we have managed to deliver on the cost savings giving us solid margins for 2024. Looking at the order intake in Food, as Tove mentioned, we are down compared to same quarter last year. But important to mention that we have some timing effects in the order intake. And if you remember back to Q4 last year, we had some bigger potato projects into the order intake in that quarter. That gives us with the €85 million order intake in the quarter, we ended the year at €108 million order backlog, which is also a strong start for 2025. Then over to the balance sheet. And we end the year strong on our KPIs. We have a solid balance sheet, equity ratio of 38%. We have a gearing at 1.6. ROCE is trailing at 18% and we have a net working capital around 11%. We have delivered a very strong cash flow for the full year, €235 million compared to the €137 million last year. And in Q4, we ended cash flow from operations at €83 million. Looking at the financial position, we have also had some activities in the quarter related to the financing. So we have updated the – and renewed the revolver credit facility at the same level at the same – and also with the same maturity three plus one plus one. We have also included now the green bond that we got in October. And also we have – yes, we have the undrawn credit facility, which is then at €109 million end of the year. So all in all in a very good position here on financing. And then over to the outlook and starting with Collection. As you have heard earlier today, there are several new deposit initiatives in the pipeline and we expect high activity related to preparation for these markets now in 2025. In addition, our existing markets in Collection continue to be important for our growth and we expect these markets to continue to grow 5% in 2025. When we talk about new market activity to be expected in 2025, we have Austria and Romania, where we anticipate the rollout to continue throughout the year but at a slowing pace compared to 2024. We also have Portugal on the list, where sales can potentially start in the second half of the year. And then we have Tasmania, which is a throughput market, where revenue will come over time and they go live now in May this year. And then we need to talk about Poland. Poland is a significant market with its around 36 million inhabitants. So the market potential can be around 10,000 machines, using then a factor of 3,000 to 4,000 machines – inhabitants per machine. The go-live date is set now to October 1, which seems to be a very firm date. But what we can expect is that there will be a three months grace period in the market. So in Q3, we said that we believe that this rollout in Poland would take around yes two to three years. Now we are more confident that it will take around two years to roll out Poland. And currently what we see in the market it's a very high commercial activity and TOMRA is absolutely a part of this. But what we see is an interest for both sales and service in the market, but also the throughput model that we offer. And that is, yes, coming clear in the discussions with our customers in Poland. So the revenue levels for 2025, will highly depend on the sales model that are chosen by the customers in the Polish market. So if you would see a more sales and service model, you would expect a spread of revenues over the next two years. But if it will be a more throughput model, you would see that the growth in revenue will come over time, as the return rates increase. So what we believe in is that the market will most probably be a mix of sales and service and throughput. But this can of course, change down the road when the contracts are being signed. When we talk about the expectations for margins in Collection in 2025, we believe that that should stay north of 40%. That's what we have delivered in 2024. We also expect OpEx levels to remain at, yes, same levels that we have seen in 2024, when you think about OpEx over revenues. And of course, that will all depend on the ramp-up costs needed in 2025. So currently, we are indicating a ramp-up cost level at around €20 million for the full year, which is then in line with what we have had in 2024. And then, over to Recycling. And I just wanted to remind us that the important drivers continue to be regulation, decarbonization as well as the need to modernize and automate recycling sorting processes. And we see that clearly with the commitment in EU, with approving then the Plastic and Plastic Waste regulation. However, we have seen a softer market sentiment in the plastic upgrading segment, over the last year. And because of that, we expect a slower short-term growth than our strategic target set for Recycling. So based on the backlog information and the pipeline information that we have today, we are confident to say that we can deliver a mid-single-digit growth in 2025. And the important drivers for that will be stable activity in waste sorting, which is our -- the largest segment in recycling. We will continue to see growth in service and aftermarket sale, as well as growth in Metal and Mining segments. And with this growth, we have not assumed a recovery in the Plastics segment, which means that that will represent a potential upside in 2025. Looking at margins, we expect to deliver and to maintain strong margins in 2025, as we had in 2024. And the conversion ratio that we estimate for the coming quarter Q1 2025 is a 45% conversion ratio of the order backlog of €107 million. And then over to Food. We are proud as you've heard today, to have delivered on our cost reduction program in 2024 with this €30 million run rate in savings for the full year. And that has resulted in a delivery of a more than 10% EBITDA in Q4. Profitability will remain a focus area also in 2025, in addition to then the continuation of the improvement program in Food, ensuring the new organizational setup, but also the technology leadership for future. Important drivers for Food, is the demographics, the modernization and automatization for food sorting processes. And over the last years, we have experienced a challenged market in food. And even if we now see and experience pockets of positive sentiment in the market, we do not believe in the full recovery in 2025. So given these factors, we indicate a low single-digit growth in 2025, gross margins in the mid-40s and profitability in line with the run rate coming out of 2024. And then, of course further improvements on the profitability, is expected when the top line growth materialize over time. For Q4, our estimate is 65% of the conversion ratio of €108 million order backlog to be recognized as revenue in, yes, Q1 2025. And then over to our Horizon business. There is high activity in Feedstock with the new plant in Norway being -- going into operations in 2025, and then the German plant going -- is more expected into 2026. Remaining CapEx for these two plants are now approximately €40 million. So we have a timing between 2024 and 2025, where then €10 million is for the Plastretur facility in Norway. As we are planning to start operations in Norway in 2025, we will have a different profile on the operating expenses in Horizon. While the underlying Horizon operating expenses is expected to stay at the same level as we have delivered in 2024 around €8 million to €9 million, we expect the run rate to double in 2025 with the additional cost then being fully linked to the plant operation. And then talking about the revenue profile for the Norwegian plant which goes into operations, is that you should expect limited revenue in the start, but then as the capacity increases the revenue will also increase over time. And having said that, we expect the Norwegian plant to deliver positive EBITDA as a run rate out of 2025. And I think with that we can end the outlook Daniel and move over to Q&A.
A - Daniel Sundahl: Thank you, Tove and Eva. We will now open up for Q&A. We have 10 minutes before we plan to end at 8:45 today and we have a few questions coming in already. First one coming in from Adela Dashian at Jefferies. Please go ahead, Adela.
Adela Dashian: Thank you, Daniel. I will keep it to just two questions then. First off, you mentioned here a little bit about Poland and how activity levels are materializing. But maybe on the back of the delayed implementation here by a couple of months, can you say anything about prior to the delay, how much were you budgeting for the first half of the year? And are you really seeing a significant back-end loaded year due to Poland then now obviously as a result of the delay? How should we view that just in modeling purposes?
Eva Sagemo: Yeah. So when we started the year, we have thought about two to three years implementation time in Poland. And then also with the firm date that will probably change a bit. And I think here it's important to note what I said about the sales model that the revenue will depend on what will be signed as a sales contract in Poland. But for sure, what we believe in is a more back-end loaded Poland effect for collection in 2025.
Adela Dashian: That makes sense. And then can I just ask quickly about your expected market share in Poland? You've previously guided for 50% in newer markets. Is that what you are expecting for Poland too? And then I will move on to one question on Recycling before I'll end.
Eva Sagemo: Yeah. We don't give a market share per country, but we always target to be the largest player significantly larger than the others and at least above 50%.
Adela Dashian: Can you say if that's the case in Poland, not 50% but if you are the largest currently?
Tove Andersen: So there is a lot of commercial activities happening as we stand here. So I'm not going to comment on that.
Adela Dashian: All right. Lastly on Recycling then. The conversion ratio was I think pretty low. Is that seasonally related to Q1? Or is there anything else?
Eva Sagemo: No. So the conversion ratio that we indicate for Q1 is on the softer side and that's all related to timing of projects in the order backlog. What we most probably will see in 2025 is more like a back-end loaded also year for Recycling. But still, we will probably see an increase in revenues, if you look at the Q1 over Q1 2024 with that backlog conversion.
Adela Dashian: Okay. I appreciate all the color. Thank you.
Daniel Sundahl: Thank you, Adela. And the next question is coming from Elliott Jones in Danske Bank. Please go ahead, Elliott.
Elliott Jones: Yeah. Good morning, guys. Congrats on the numbers this morning. Just starting with the new markets that we saw in 2024, so kind of like Austria, Romania, Hungary those. Can you give us some color in terms of like what percentage of their overall market is done or if we could maybe expect some tail contribution in 2025 from those markets?
Eva Sagemo: Yes. So for Austria, you would expect the delivery to continue in 2025, mainly in Q1, that's normal after a go-live date in the start of the quarter. We also expect continued rollout in Romania, which is very positive. They went live in 2023. But I'm not going to -- I can't give you details on how much is really pending on the penetration of the market as such. So that's kind of like on the existing markets coming into 2025 then except for Poland which we have talked about.
Tove Andersen: And Hungary, it's also a part of question.
Eva Sagemo: Yes. And Hungary as well, you should not expect large numbers coming in from Hungary in 2025, but some will probably be materialized, but not significant volumes.
Elliott Jones: Got it. Thank you. And then yes in terms of Poland, the October start date, how should we think about kind of meaningful sales or contribution into that region? Like you say, it's a 2-year rollout, but are you expecting some proper contributions to come in the quarter or two quarters before that? Or are you still thinking it's very kind of back-end loaded in terms of that market?
Tove Andersen: I think Poland is very exciting. It's a huge opportunity for us. Eva has talked about the total potential. How the revenue profile will be, will depend really on the commercial models and we are in the middle of the negotiations on that. If there will be mainly sales and service, you will see quite a lot of activities this year, also before the 1st of October, but also after. If it's going to be mainly throughput, the volume will -- and the revenue will come late this year and really then much more next year. So, we don't know where we will land. The commercial negotiations are happening regardless it's a great commercial opportunity for us that we are really focused on capturing. But exactly how much will land in '25 versus '26, it is very difficult to say at this stage. And we'll keep you updated as these discussions and negotiations are then completed.
Elliott Jones: Got it. Thanks. And then just one more for me. On Recycling, I think you mentioned mid-single-digit growth-ish on the top line. In terms of margin levels, I know that segment is quite linked to volumes quite sensitive there. So, all else equal if you got mid-single-digit growth, is it fair to assume on the margin side that you're expecting a small uplift as well? Or is there something else that could happen there?
Eva Sagemo: Yes. So we expect to maintain margins in line with 2024 for 2025. So even with that growth, we should not expect an uplift in the margins as such.
Elliott Jones: Perfect. Thank you.
Daniel Sundahl: Thank you, Elliott. And then we'll take a last question from Victoria Adesina of Barclays. Please go ahead, Victoria.
Victoria Adesina: Good morning guys. I'll be quick. So just on TOMRA Horizon with TOMRA Textiles now being taken out, can we expect there to be a new venture there? Or are we just sticking to Feedstock and Reuse?
Tove Andersen: Yes. So currently, we're quite happy with the portfolio we have. We have added then c-trace which means that we have three ventures there also with quite different CapEx requirements profiles. You have c-trace which is already a running business with a good positive cash flow that we can build from. We have the Feedstock which is more capital intensive. We have the reuse which is much less capital intensive. So, we feel like we have quite a good portfolio there currently. Of course, we are constantly screening and evaluating additional opportunities, but we don't really have anything that we are expecting to be launching there short term.
Victoria Adesina: Okay. Cool. Makes sense. And then I just want to make sure I have this right on the market sentiment. So essentially you're saying that you're not expecting a recovery necessarily in plastics recycling this year. But for Food, it could potentially be the beginning of recovery. Is that right? Or...
Tove Andersen: Yes. So, we see -- in Food, we are seeing positive signs of market recovery especially then in some categories. Plastic recycling our assumption currently is that we will not see a recovery this year, but of course that represent a positive upside if it comes.
Victoria Adesina: Great. That’s it for me. Thanks very much.
Daniel Sundahl: Thank you, Victoria. And with that, we have reached the conclusion of today's presentation. Thank you everyone for tuning in. Next time, we report our results will be on the 7th of May and that's our Q1 results the day after our AGM. So with that, thank you from Asker and have a happy Valentine's. Goodbye.